Operator: Welcome to Hertz Global Holdings Third Quarter 2021 Earnings Commentary. I will now like to turn it over to our host Johann Rawlinson.
Johann Rawlinson: Hi, everyone, and thank you for joining us. I am Johann Rawlinson, Vice President of Investor Relations for Hertz, and I'm joined by Mark Fields, our Interim CEO and Kenny Cheung, our CFO. We hope, you had an opportunity to review the press release that we issued that contains our third quarter 2021 earnings results, along with the slides to accompany our prepared remarks, both of which can be found on our Investor Relations website on hertz.com. On this call, Mark will provide insight on Hertz’s strategic vision, and also share some highlights of our results. Kenny will then take you through the drivers of our third quarter financial results and key operational metrics, followed by an overview of our guidance for full year 2021. Our remarks will focus on Hertz Global Holdings, Inc. which we refer to as Hertz, our publicly traded company. Differences in the financial results for the Hertz Corporation are disclosed in our press release. Some of the matters that we will discuss contain forward-looking information, including potential future financial performance, which is subject to risks, uncertainties, and assumptions that could cause actual results to materially differ from such forward-looking statements and information. These risks and assumptions, uncertainties and other factors are identified in our press release and our third quarter 2021 Form 10-Q and our Form 10-K filed with the SEC in February, 2021, as well as in other periodic filings with the SEC and on our Investor Relations section on hertz.com. Any forward-looking information relayed on this call speaks only as of this date, and the company undertakes no obligation to update that information to reflect changed circumstances. During this call, we'll use non-GAAP financial measures, which are reconciled with GAAP numbers in our press release. All comparisons will be against 2019 because we believe it provides a more relevant benchmark given the unusual impact of COVID-19 on our business in 2020. For comparisons with our 2020 results, please refer to our 10-Q. Comparisons will also exclude the effects of the Donlen fleet leasing and management business, we sold in March of the year. With that, I'd like to hand it over to Mark Fields.
Mark Fields: Thanks, Johann and thanks everybody for joining us. I'd like to begin by saying I'm absolutely thrilled to be taking the helm of the new Hertz and working with our team as we chart a dynamic new course for the future of travel, mobility and the auto industry. Now having spent a large part of my career in the automotive space, I'm intimately aware of how significantly the transportation sector has evolved during the last decade. With increasing consumer focus on connected cars, electric vehicles, and autonomous driving, there's a growing opportunity for Hertz to be a leader in the mobility ecosystem. We're building on our brand strength and global fleet management expertise and combining it with new investments in technology, electrification, shared mobility and a digital-first customer experience. My goal as interim CEO is to ensure we have the right resources, the right strategy, and our executing on the right plan to position this company for success. In the near term, I'm focusing the organization on five key priorities; firstly, excellence in executing the fundamentals, second, a customer first mentality, third, innovating relentlessly, fourth, leading in the adoption of electric vehicles, and fifth, investing in our future. These priorities will be weaved into everything we do and guide our go forward strategy. Since completing our restructuring in June, Hertz has established a strong operational foundation. Thanks to the hard work of the entire Hertz team. We have significantly strengthened our car rental business with over $95 of structural improvement in monthly revenue per unit, which we expect to continue into the future and over $300 million in annual structural cost reductions. This has contributed to a record quarterly adjusted corporate EBITDA of $860 million in the third quarter. Now what's clear is that Hertz is a better optimized and led our organization with an enhanced financial profile that is well positioned for future profitable growth. More importantly, we're now on track for a record fiscal year earning and expect to achieve 2021 adjusted corporate EBITDA of between $2 billion and $2.1 billion. Having established this strong foundation, we're creating the new Hertz, solidifying a critical and defensible position in the modern mobility ecosystem. As the first test in this effort, we just announced transformative initiatives with Tesla and Uber that we believe give Hertz an important first mover advantage in the field of sustainable, mobility and the future of electric and autonomous vehicles. We have placed orders for 100,000 Tesla’s to be delivered through the end of 2022 and are already welcoming them into our global fleet. We are establishing the largest global EV rental operation and expect to have a combination of level 2 and DC fast charging in approximately 65 markets by the end of 2022, increasing to over 100 markets in 2023. We also plan to offer a premium and differentiated rental experience for the Tesla EVs. This includes digitized guidance to educate customers about the electric vehicle, to get them on their way quickly and coming soon, an expedited EV rental booking process through the Hertz mobile app. This is truly a once in a lifetime opportunity as the world moves aggressively towards new propulsion systems and sustainable operations. As part of the partnership with Uber, Hertz has been named as the exclusive national provider of Tesla electric vehicle rentals for Uber's green future program, which incentivizes their drivers to transition from gas powered vehicles to EVs. Under the partnership, Hertz will make available up to 50,000 Tesla EVs to Uber drivers by 2023, and if successful, could expand further to 150,000 Tesla’s over the next three years. These ambitions are subject to factors beyond our control and could be impacted by the supply chain and semiconductor chip shortages or other constraints. In addition, we also just announced a national arrangement with Carvana to help revolutionize our fleet management. Through the digitization of the vehicle disposition process, we can meaningfully increase downstream profitability and enable proactive management of vehicles across their life cycles. This will also reduce costs in the vehicle disposition channel, while providing Carvana with access to a large and diverse supply of used vehicles nationwide, which is, we all know are in extremely high demand. These are just the start of what we will pursue to bring technology to the forefront of Hertz. In a distinct shift from the past, we're charting a new course that leverages the best of transportation and logistics management, alongside a strong digital backbone. This includes a new and comprehensive technology roadmap, focus on modernizing our technological offerings and delivering innovation and growth. It also includes building on the travel, tourism and hospitality expertise and capability of Certares, and other industry relationships to identify additional ways to enhance our offerings. Our technology roadmap identifies up to $250 million in investments through 2024, which we believe will lead to increased profitability and improve operational functionality across the organization. To help lead the implementation of this strategy, we just appointed Tim Langley-Hawthorne, as our Chief Information Officer. Tim will lead the implementation of our technology roadmap with a focus on revenue and reimagining the customer experience. Part of that work include is connecting our entire fleet to create a seamless customer offering, while lowering delivery costs. We anticipate having a substantial portion of our fleet connected by the end of 2022. Our roadmap is supported by our industry leading balance sheet and nearly $4 billion of liquidity and its achievement. We're proud of as we move past the restructuring and capitalize on the opportunities ahead of us. As we look ahead to the fourth quarter, this is the time of year when we would typically experience lower leisure volumes and increase corporate travel. However, with the rise of the Delta variant through early fall, many companies is continue to delay resumption of business travel. Even with that forward bookings for the holidays are strong and we believe the positive momentum in our results will continue. Internally, we are laser focused on maintaining fleet discipline. We're hearing from our OEM partners that they haven't yet settled on production schedules, and we believe the semiconductor chip shortage will continue to be a factor well into 2022. We're keeping a close eye on how these trends play out during the coming months and keeping an open dialogue with our OEM partners. We expect that overtime supply will return and we will continue to rotate out older vehicles. So overall, this is an incredibly exciting time for the new Hertz we're creating. And I'm thrilled to be leading this team into the future. We're building from a renewed position of strength and all of us are committed to and focused on leading the future of mobility and travel. With that, I'll turn it over to Kenny to walk us through the numbers.
Kenny Cheung: Thank you, Mark. Let me start by echoing Mark's enthusiasm. This really is an exciting time at Hertz, and I am so proud of how our team has to continue to deliver for our stakeholders. Continuing our trend from last quarter, we experienced top line growth combined with the impact of lower fleet cost and structural cost reduction. As Mark mentioned, this resulted in record quarterly adjusted corporate EBITDA of $860 million and margin of 39%. We continue to narrow the gap on volume declines in both the Americas and international segments with no meaningful incremental impact resulting from the Delta variant. Volume has the returned to 2019 levels, but structural improvements and market dynamics drove pricing higher, which helped mitigate the impact to revenue. A core element of our strategy is to optimize our market segments and network distribution, to drive business improvement, which results in higher yields. Our total RPU for Q3 increased by 35% driven by various factors, examples of these are corporate contract changes, segment mix optimization and furthering the sale of ancillary products. Slide 10 reflects the business improvement contributed $95 of the increase in total RPU for the quarter. The remainder of the increase is market driven. As I mentioned last quarter, we are managing our fleet capacity with the rigor and discipline, keeping our fleet tight at a level that is slightly below expected demand, which will maximize yield. Although, we are in fleeting new vehicles each month, we are not seeing the level of supply required to fully replenish and rotate the fleet. We are supplementing the fleet of high condition, low mileage vehicles, and expect this will continue. Despite new vehicle supply constraints, we are deliberately focused on rotating out order fleets, which reduces maintenance expense. As reflected in our press release, depreciation per unit per month was $44 during the quarter. Let me unpack this low number for you. We are in an exceptionally strong residual value market. In the third quarter, we realized $197 million of net disposition gains, which reduced our depreciation per unit. For the vehicles that we are still holding, we have reduced gross depreciation expense due to the strong residuals. Finally, we are holding our vehicles for a longer period of time, which also drive a lower depreciation expense. Partially offsetting these favorable economics are increased acquisition cost. Over time as OEM supply returns, and as we continue to rotate our older fleets, we expect depreciation per unit to return to historical level. As Mark mentioned earlier, we could end up providing up to 150,000 Tesla EVs to Uber drivers over the next three years. Like all of our other fleet investments, the economics of these vehicles are sensitive to depreciation rates and ensures the economics and other cost items. In our planning, we have assumed that the Tesla EVs depreciate our rates comparable where traditional internal combustion vehicles should cost materialize at lower levels. This may justify a larger vehicle program. We provide on Slide 11, some specifics around our operating expenses, continued execution on productivity drove an improvement of DOE SG&A as a percentage of revenue of 130 basis points will compare the second quarter of 2021. As previously fee disclosed, we've implemented cost reduction in the business, which on the like-for-like basis would've enhanced full year 2019 adjusted corporate EBITDA by approximately $400 million or $500 million, when you include the impact of lower interest on vehicle’s debt. The enhancement comes as a result of removing certain fixed costs, as well as exiting some low margin contracts and location. The cost reduction can be attributed roughly 50/50 between DOE and SG&A. The impact of the improvement was partially offset by increased maintenance costs associated with the older fleet. We expect $300 million of the cost reduction to be structural. Our journey to improve the bottom line will be continuous, as we see the optimized business processes and drive operational efficiencies. Now turning to our capital structure and liquidity, at September 30, our liquidity was $3.8 billion, comprised of $2.7 billion in unrestricted cash, and $1.1 billion available under the senior revolving credit facility, which has no outstanding borrowings. Our third quarter operating cash was $743 million, which is 86% of our adjusted corporate EBITDA, and we expect this relationship exclusive of any journal unsecured creditor or concur payments to be approximately 90% going forward. Post restructuring, we issued 1.5 billion of preferred stock. As of September 30, our net debt position, including the preferred stock is largely neutral. Excluding preferred stock, we are in a net cash position. Also, we have no material corporate debt maturities until 2026. Last quarter, our interest expense reflected our previous capital structure and some expenses associated with the debt financing. Our interest expense for the third quarter was comprised of $22 million non-vehicle and $41 million vehicle and reflects our current capital structure. The third quarter interest expense is in line with what we expect going forward subject to fleet size and the corresponding levels of funding from the ABS facilities. Our balance sheet is extremely healthy. As Mark pointed out, we are well positioned to fund our strategic initiatives and grow the business as demand fully recovers. To give you some insight into how our fourth quarter shaping up, as Mark said, our holiday bookings are strong and we're seeing positive pricing trends for October in both Americas and international segments in line with recent performance. Internationally, we experienced quarter-over-quarter improvement in both RPU and volumes throughout 2021. As countries further reduce travel restrictions, we believe our international segment results will continue to trend positively. We are starting to see movements in our forward bookings from inbound travelers, and we expect more in the coming weeks. As the U.S. welcomes an increasing number of international inbound travelers, we are optimistic about the momentum, this will bring to our business. For us the inbound travel segment is highly profitable, and we see this as a further positive factor. Turning now to our guidance for the full year 2021 which is addressed on Slide 13, as you can see on a consolidated basis, we expect adjusted corporate EBITDA to be in the range of $2 billion to $2.1 billion. We expect total RPU for our global business to be in the range of $1,400 to $1,430. And we expect appreciation per unit per month of $95 to $105. These measures reflect our expectation that total RPU remains elevated due to business improvements and that the market dynamics of consumer demand, constraint supply of vehicles and strength and residual values continue. And we expect to end the quarter with liquidity of between $3.9 billion to $4.1 billion. Also, we previously disclosed that our agreement with Amex GBT could result in approximately $150 million of adjusted corporate EBITDA for our business. We continue to believe those results are achievable, assuming corporate rental volumes return to 2019 levels. Before I hand it back to Mark for closing remarks, let me reiterate my confidence and Hertz’s bright future. The steps we've taken are generating a stronger performance and we are firmly focused on leveraging our competitive advantage to drive enhanced value for all our stakeholders. Mark, back to you.
Mark Fields: Thank you, Kenny. I hope from today's discussion, it's clear that Hertz is making great strides and that we're well positioned for future profitable growth. We have established strong momentum since our restructuring, successfully executing on the fundamentals and forging strong partnerships with mobility leaders. The new Hertz is poised to play a central role in the evolution of modern mobility leading the electric vehicle transition and creating a digital first experience for business and leisure travelers around the world. I'm very excited to be part of Hertz at such a pivotal time for an iconic brand like ours. Our teams around the world are energized about our path forward and together we look forward to capitalizing on the significant opportunities ahead. Thank you for listening.
Operator: This concludes the Hertz Global Holdings third quarter 2021 earnings commentary.
Q - :